Operator: Ladies and gentlemen, thank you for standing by. Welcome to Comtech Telecommunications Corp. First Quarter Fiscal 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded Friday, December 7, 2012. 
 I would now like to turn the conference over to Ms. Maria Salerno of Comtech Telecommunications. Please go ahead, ma'am. 
Maria Salerno: Thank you, and good morning. Welcome to the Comtech Telecommunications Corp. conference call for the first quarter of fiscal year 2013. With us on the call this morning are Fred Kornberg, President and Chief Executive Officer of Comtech; and Michael Porcelain, Senior Vice President and Chief Financial Officer.
 Before we proceed, I need to remind you of the company's Safe Harbor language. Certain information presented in this call will include, but not be limited to, information relating to the future performance and financial condition of the company; the company's plans, objectives and business outlook; the plans, objectives and business outlook of the company's management; and the company's assumptions regarding such performance, business outlook and plans are forward looking in nature and involve certain significant risks and uncertainties. Actual results could differ materially from such forward-looking information. Any forward-looking statements are qualified in their entirety by cautionary statements contained in the company's Securities and Exchange Commission filings.
 I am pleased now to introduce the President and Chief Executive Officer of Comtech, Fred Kornberg. Fred? 
Fred Kornberg: Thanks, Maria. Good morning, everyone, and thank you for joining us on this call. 
 Despite difficult market conditions, we reported solid first quarter results of $91 million in revenues and a GAAP diluted EPS of $0.36. Our first quarter results included pretax net charge of $800,000 related to a restructuring plan to wind down our microsatellite product line and also includes a pretax benefit of $2.4 million related to a change in fair value of the earn-out liability associated with the acquisition of Stampede Technologies, Inc. Our adjusted EBITDA for the quarter was $18.5 million. 
 Although our long-term growth plans have not changed, we believe that the impending sequestration deadline and the looming fiscal cliff have resulted in increased uncertainty throughout our customer base. As such, we now believe revenues in fiscal 2013 will be in the range of $350 million to $365 million and GAAP diluted EPS will be in the range of $1.26 to $1.34. Our adjusted EBITDA is expected to be in the range of $65 million to $68 million.
 In light of our expectations of continuing solid operating cash flows, our Board of Directors approved the dividend for our second quarter of fiscal 2013 of $0.275 per common share. This dividend is expected to be paid on December 27, 2012, to stockholders of record on December 17, 2012. To date, we have paid out approximately $52.3 million of dividends over the past 9 consecutive quarters and continue to believe our dividend program is an excellent way to return capital to our stockholders.
 In addition, our Board of Directors authorized a new $50 million stock repurchase program, which will be effective upon the completion of our current $250 million stock repurchase program. And as of today, we have $61.3 million available to repurchase our common stock. 
 At this point, let me turn it over to Mike Porcelain to provide a brief overview of our first quarter financial results. Mike? 
Michael Porcelain: Thanks, Fred, and good morning, everyone. I'll walk you through the Q1 results, and as I normally do, I will provide some additional commentary on our expected financial results for fiscal 2013. During Q1, we generated revenues of $91 million, of which 43.4% were for U.S. government end users, 43.1% were for international end users, with the remainder being for domestic commercial end customers. 
 Let me provide some color on sales by segment. Net sales on our telecom transmission segment were $53.3 million in Q1 of fiscal 2013 as compared to the $56.8 million we achieved in Q1 of last year, representing a decrease of 6.2%. This decline is attributable to lower sales of our Satellite Earth Station products, which were partially offset by slightly higher sales in our over-the-horizon microwave system product line.
 During Q1 of fiscal 2013, our Satellite Earth Station product line was negatively impacted by reduced spending by the U.S. government, primarily as a result of budget pressures and the impending sequestration deadline, as well as continuing overall challenging global business conditions. These adverse conditions have continued into our second quarter of fiscal 2013, and we do not expect to see meaningful improvement until the second half of fiscal 2013. Ultimately, we do expect business conditions to improve. As such, we expect Satellite Earth Station sales to increase slightly in fiscal 2013 as compared to the full year of fiscal 2012.
 Sales of our over-the-horizon microwave systems increased slightly during Q1 of fiscal 2013 compared to last year and reflect the benefit of shipments related to orders for our Modular Transportable Troposcatter Systems or MTTS, as well as our performance on our 3-year $55 million contract to design and furnish a telecommunications system for use in the North African government's communications network. Although future orders are difficult to predict, we are expecting to receive significant additional MTTS orders that we do expect to ship during the fourth quarter of our fiscal 2013. As such, we do expect net sales for this product line in fiscal 2013 to be significantly higher than the level we achieved last year.
 Net sales in our RF microwave amplifier segment were $25.3 million as compared to $21.1 million in Q1 of last year. This increase of 19.9% primarily reflects significantly higher sales of our traveling wave tube amplifiers. Overall, market conditions in this end market also remains challenging, and the ability to predict the timing of additional awards remains difficult. Based on our current backlog and the anticipated timing of orders we do expect to receive, we now expect net sales on this segment in fiscal 2013 to be slightly lower than the level we achieved in fiscal 2012.
 Turning to our mobile data communications segment. Sales in Q1 of fiscal 2013 were $12.3 million, a substantial decrease of 65.4% from Q1 of last year. This anticipated decrease is attributable to a substantial decline in MTS and BFT-1 sales to the U.S. Army, as well as our fiscal 2012 decision to wind down our microsatellite product line. Sales related to the design of microsatellites were insignificant in Q1 of this year compared to approximately $7.6 million in Q1 of last year.
 Mobile data communications sales for the first quarter of fiscal 2013 includes $2.5 million of revenue related to our $10 million annual intellectual property licensing fee that we collected in fiscal 2012. Q1 fiscal 2013 sales also includes sales of MTS mobile satellite transceivers of approximately $3.5 million, for which we currently have no additional orders in our backlog.
 We continue to expect that sales on our mobile data communications segment will be materially lower this year as compared to last. As a reminder, effective June 30, 2012, we are no longer procuring or providing satellite transponder capacity to the U.S. Army. We currently have $11.8 million of BFT-1 orders in our backlog, and as Fred will discuss in a bit, we are expecting that the BFT-1 sustainment contracts optional performance period will be exercised by the U.S. Army.
 Let me walk you through our gross margin and SG&A line items. Our gross profit in Q1 of fiscal 2013 as a percentage of net sales was 46% as compared to 45.2% for Q1 of last year. The increase was attributable to a higher percentage of consolidated net sales occurring in our telecom transmission segment, which generally has a higher gross profit percentage than our other 2 reportable operating segments, and an overall better mix of products and services in both our RF microwave amplifiers and mobile data communications segments.
 Our gross profit in Q1 of fiscal 2013 does reflect the $2.5 million of revenue from the IP fee I just mentioned. Our gross profit in Q1 of fiscal 2012 reflects the benefit of $5.6 million related to the finalization of MTS and BFT-1 orders.
 Looking forward, we believe gross profit as a percentage of consolidated net sales for the full fiscal year 2013 will be higher than the percentage we achieved in fiscal 2012. 
 On the expense side, SG&A expenses were $16.8 million or 18.5% of Q1 of fiscal 2013 net sales as compared to the 21.3% we achieved in Q1 of last year. Our SG&A expenses for Q1 of fiscal 2013 reflects a benefit of $2.4 million relating to a change in the fair value of a contingent earn-out liability associated with our acquisition of Stampede assets, offset in part by approximately the $800,000 worth of restructuring charges associated with the wind down of our microsatellite product line.
 Our SG&A expenses during Q1 of last year were impacted by $2.6 million of professional fees associated with the withdrawn contested proxy solicitation in connection with our fiscal 2011 Annual Meeting of Stockholders. Excluding these amounts in each respective periods, SG&A expenses decreased by $3.1 million, primarily due to overall lower spending associated with lower consolidated net sales. Looking forward, total GAAP SG&A expenses in dollars are expected to decrease in fiscal 2013 as compared to fiscal 2012 and as a percentage of consolidated net sales, are expected to be comparable.
 Research and development expenses were $10 million or 11% of consolidated net sales in Q1 of fiscal 2013 versus the $9.7 million or 8.6% in Q1 of fiscal 2012. Looking forward, despite challenging business conditions and notwithstanding our cost reduction efforts, we expect to continue to invest in R&D. As such, we expect that R&D expenses in dollars in fiscal 2013 will be comparable to the level we spent in fiscal 2012. As a percentage of consolidated net sales, we do expect that R&D expenses to increase.
 Total stock-based compensation expense in the first quarter of fiscal 2013, which is recorded in our unallocated segment, was $700,000 compared to $900,000 in the first quarter of fiscal 2012. Amortization of intangibles with finite lives in the first quarter of fiscal 2013 was $1.6 million compared to $1.7 million in the first quarter of fiscal 2012. Consolidating operating income was 14.7% of consolidated net sales as compared to 13.9% in the first quarter of last year. 
 Because the pricing for various products and services we have agreed to provide to the U.S. Army has not yet been finalized and it remains difficult to predict our overall sales and product mix, it is difficult to estimate future operating margins. Nevertheless, based on the orders currently in our backlog and orders we expect to receive, we do expect consolidated operating income in fiscal 2013 as a percentage of consolidated net sales to approximate 13%.
 Interest expense was $2.1 million in the first quarter of both first quarter of fiscal 2013 and fiscal 2012. Interest income and other was $276,000 in the first quarter of fiscal 2013 compared to the $496,000 we reported last year in Q1. Interest income and other for both periods is primarily generated from interest earned on our cash and cash equivalents. 
 Turning to income taxes. Our GAAP effective tax rate for the first quarter of fiscal 2013 was 35.5%, which does not include any benefit from research and development credits which expired on December 31, 2011. This rate does reflect an increase as compared to our earlier fiscal 2013 estimate of 34.5%. This new rate assumes no discrete tax adjustments and reflects product and geographical mix changes in our fiscal 2013 business outlook. This change negatively impacted our earnings guidance by approximately $0.02 of diluted EPS. Despite the higher tax rate, as mentioned earlier, for the first quarter of fiscal 2013, we did deliver GAAP diluted EPS of $0.36. 
 Now let me provide a few financial metrics to help additional -- provide additional color. Adjusted EBITDA, as defined at the end of our press release that we issued yesterday, was $18.5 million in Q1. On October 31, 2012, our backlog was $133.3 million compared to $153.9 million at July 31, 2012. This backlog includes $11.8 million of orders related to our BFT-1 sustainment activities.
 Now let me turn to our balance sheet, which remains very strong. As of October 31, 2012, we had $374.5 million of cash and cash equivalents. This balance does not reflect our Q1 dividend of $4.8 million, which was paid in November of 2012. We also generated $11.9 million of positive cash flows from operations during Q1. Based on the timing of expected orders and related collections, we do expect nominal cash flows from operations during our second and third quarter of fiscal 2013, but we do expect to generate significant cash flows from operations during our last quarter. 
 Finally, I want to highlight a few comments related to our fiscal 2013 guidance. As you know, we stopped providing quarterly guidance several years ago. However, in light of current market conditions and the timing of expected orders, we do believe it is prudent to provide some comments on Q2. We expect that our sales in Q2 of fiscal 2013 will be approximately 15% lower than Q1 of 2013 before ramping back up in Q3 and even more so in Q4. 
 As a result of our outlook, we expect that our 3% convertible notes in Q2 will not be dilutive. As such, for income statement modeling purposes, you should consider excluding this shares from your diluted EPS ratio calculation and not adding back the interest expense to the numerator. From an EPS perspective, Q2 diluted EPS is expected to be somewhere between $0.10 and $0.12, with the rest of the year strengthening and Q4 being our peak. Of course, as usual, our guidance does not reflect any stock purchases or onetime charges that we may -- that may happen. 
 Now let me turn it back to Fred who will discuss our business strategies and outlook in further detail. Fred? 
Fred Kornberg: Thanks, Mike. I'd like to provide a brief update on each of our core product lines, and then we'll go into a question-and-answer period. I'll start with the telecommunications transmission segment, which is the backbone of our current business. 
 Although total revenues in this segment decreased by approximately 6% from the first quarter of last year, the decrease is primarily the result of the weak macro level economic environment worldwide, as well as the virtual paralysis in U.S. government spending. Generally speaking, we can say that we do not believe we're losing market share, and we clearly remain the undisputed leader in both the Satellite Earth Station equipment and over-the-horizon microwave system markets. Satellite Earth Station product bookings in the first quarter of fiscal 2013 was softer than we had expected. Having said that, we do see some catalysts that should make bookings in the second half of fiscal 2013 stronger than the first half. 
 On the international front, we believe softer bookings are primarily the result of delays in programs and projects. Our products are still the key enablers in making satellite networks more efficient in addressing severe bandwidth shortages. When new cellular networks are being rolled out, satellite for backfall is the preferred solution to moving voice, video and data back to central switching stations, and we remain the supplier of choice in providing maximum efficiencies to our broad customer base.
 On the U.S. government side of the Satellite Earth Station product line, the ongoing paralysis in Washington continues to make the receipt of orders a challenge. We were hoping for some additional clarity once the presidential election was over, but worry about the election has now been replaced by panic about the fiscal cliff. Despite that, we continue to be bullish as far as long-term demand for our product goes. A few months ago, we received our first U.S. government orders for modems containing our Carrier-in-Carrier technology. And earlier this week, we received government certification for 2 of our key government modem products. 
 This is important since it allows us to sell our most attractive product feature to the various potential buyers within the U.S. government. Although we continued to operate in a very uncertain economic and political environment, future emerging opportunities on the international side of the Satellite Earth Station area, combined with progress that is expected to be made on the fiscal cliff issue during the second half of 2013, make us believe that bookings in fiscal 2013 will be modestly higher than they were in 2012.
 Turning to the other component of our telecommunications transmission segment. We remain bullish about our over-the-horizon microwaves product line. As you know, in the fourth quarter of fiscal 2012, we received a $55 million contract from a U.S. prime contractor relating to the next phase of a major communications project with a North African end customer, which will generate nice revenue stream beginning in the second half of this fiscal year.
 Just as importantly, we understand that the prime contractor has already received its contract for the next phase of this same project and is awaiting a downpayment from the end customer. Although it's very difficult to predict the timing of large international orders, it is possible that we receive an order for this next phase during fiscal 2013, and this order would be of the equivalent size. This end customer market is expected to provide additional revenue opportunities for us in the foreseeable future. 
 A few years back, we refocused our marketing, our over-the-horizon microwave products and systems to foreign countries that have challenges in communicating over difficult terrain similar to our North African end customer. We have made significant headway with various new potential customers worldwide. In fact, in the first quarter of fiscal 2013, we received a $1.4 million order from the Swedish military for the first of many of our Mobile Transportable Communications Troposcatter Systems. 
 We're also cautiously optimistic about some of the other international opportunities, some of which are quite large. In the intermediate to long term, all of these potential customers have a requirement for tropo. South America, in particular, looks like a strong market for tropo, while unrest in the Middle East, unfortunately, seems to be delaying potential projects in that region.
 On the U.S. government front, we continued to supply a prime contractor that is using its antennas and our Modular Transportable Troposcatter Systems to offer the U.S. a military flyaway configuration, which is capable of providing seamless compatibility with legacy fielded over-the-horizon microwave systems. We believe that additional orders for this project and this product may be forthcoming, as there are hundreds of potential units to be deployed. 
 In addition, during the first quarter of fiscal 2013, we received an additional order for $2.7 million for the TRC-170 upgrade kits for the U.S. Marine Corps. As you know, over the past 5 years, our over-the-horizon microwave systems, including the upgraded TRC-170s, have been fielded by the U.S. military throughout the world and have proven to be an important link in critical communications channels. Overall, we believe that our telecommunications transmission product lines are weathering the current adverse business and government spending environments and are poised for growth as conditions improve and the government funding frees up.
 Moving to our microwave amplifiers segment. Our traveling wave tube amplifiers or TWTAs and solid-state power amplifiers or SSPAs serve critical needs in both the commercial and defense markets. Our TWTAs are used extensively in the satellite communications market, enabling vital services, such as traditional broadcast, Direct-to-Home broadcast, satellite news gathering and the emerging satellite broadband communications area. 
 Among our more recent TWTA wins are contracts for our industry-leading 500-watt Ka-band amplifiers, which are key components in the vast majority of North American and European high-throughput broadband satellite systems. On the defense side, our TWTA products are used to support high-capacity U.S. military communication systems, such as the Wideband Global Satellite Constellation and the Milstar system. We also have products qualified for future FAB-T and WIN-T programs.
 On the solid-state amplifiers side, in addition to commercial applications, such as aviation, medical and instrumentation testing, our SSPAs are used in a number of electronic warfare applications, including counter-IED systems. In fact, during the past few years, a significant portion of our SSPA sales have come from our participation in counter-IED programs. 
 We have now substantially completed work on our development contracts in support of the DOD's next-generation counter-IED programs, most notably, CREW 3.3, and believe that we will receive the lion's share of the related production orders. However, in light of technical issues experienced on this program, which are unrelated to us, and the uncertain funding environment, it's not clear whether this -- where this program is heading and when the government and the prime contractor will be ready to place orders for our products.
 In our mobile data communications segment, as anticipated, revenues in the first quarter of fiscal 2013 relating to BFT-1 and MTS programs were significantly lower. We are currently providing both MTS and BFT sustainment services pursuant to a 3-year IDIQ contract. We ordered this contract in late March, and the contract has not to exceed value of $80.7 million and a base performance period that began on April 1, 2012, and ends on March 31, 2013. 
 The contract provides for 2 12-month option periods, exercisable by the U.S. Army, and includes an annual intellectual property license fee of $10 million. Payments of the annual IP license fees beyond the base year are contingent upon the Army's exercise of one or both of the optional performance periods. We expect that the U.S. Army will exercise the first option period before the end of March of 2013.
 As we reported in our last investor conference call, in the fourth quarter of fiscal 2012, we adopted a restructuring plan to wind down our microsatellite product line. We completed that plan in the first quarter of fiscal 2013 and have exited the microsatellite business. As of today, we have substantially completed our repositioning of our mobile data communications segment and are now solely focused on providing BFT-1 related services to our legacy U.S. Army customer and seeking other government and international opportunities that our technology can be readily adapted to. 
 All in all, we believe we have reacted quickly and appropriately to the adverse business and government spending environments that we are operating in and have made adjustments to our businesses accordingly. At the same time, we have continued to invest in new technologies and products, which should bode well for us once conditions improve. 
 And finally, before turning it over for questions, I would like to wish our senior management team, our Board of Directors, all of our employees, all of our stockholders and all those listening to this call a happy and safe holiday season. Operator, we'll take some questions now. 
Operator: [Operator Instructions] We'll take our first question from Chris Quilty with Raymond James. 
Chris Quilty: Couple of questions. First of all, on the telecom business, can you remind us what the split between -- I'm sorry, not on telecom, but specifically on the Earth Station product line, what the mix is between commercial and government? 
Michael Porcelain: The business is mostly -- from an international perspective, we don't really put it out for competitive reasons. But you could assume it's more than half of the business is on the international side. 
Chris Quilty: Okay. And what are you seeing in there competitively, either in the SCPC market or alternative technologies? Any changes that you've seen in the last 6 months to a year? 
Fred Kornberg: I don't -- Chris, I don't think we see any changes as such. I think we just see just the market stall. As I'd tried to point out, we're not losing any contracts. They're not going to other technologies. The market just seems to be stalled. And so we still have the same market share, but we just don't have the dollars. 
Michael Porcelain: Yes. And Chris, just to put some further comments around, the big slowdown that we saw in Q1 was really on the U.S. government side. That's where -- they're just down significantly versus Q1 of last year. Our international business, for the most part, if you remember how strong it was last year, it was up double digits in our first quarter versus 2011. It's basically flat in our Q1, but it's tough out there. 
Chris Quilty: Okay. And any progress to announce on the recent relationship with Harris CapRock? 
Fred Kornberg: Not really. Nothing's changed. The program is going forward on a schedule basis, so everything is fine. 
Chris Quilty: Okay. You also mentioned, I think, that you got your first government order for Carrier-in-Carrier technology, and I think you've had that deployed for 3 or 4 years in the commercial sector. Can you comment on why it's taken this long for the government to adopt the technology? 
Fred Kornberg: Yes. This is really nothing new, we had the same problems, I guess, on the international side. As you know, the telecommunications industry and specifically also the government is really slow to change to a new technology. And so it was just a normal, let's say, length of time that you market it and you convince the government or the international side that the product has certain advantages over, let's say, a competitor's product. Specifically, what I mentioned today was just this past couple of weeks, we did finally receive certification of our -- of 2 of our modems using the Carrier-in-Carrier technology. That is really the key effort. The government does require certification of its products to be used in major programs. And although we had some sales to, let me say, to government 3-letter agencies, this will allow us sales into major U.S. Army and U.S. Marine Corps programs. 
Chris Quilty: Yes. And I think for your commercial customers, the adoption of that technology was driven by return on invested capital that could range in a matter of months. 
Fred Kornberg: Right. 
Chris Quilty: Does the government think the same way? Or is this probably a traditional slow government procurement process? 
Fred Kornberg: Well, it's always, as you know, the government works in its fashion. I think they do appreciate the payback on this technology, and obviously, they're beginning to use it. As you know, government bandwidth for satellite communications has always been an issue for the government. So one would have expected that this technology would have been, I guess, bought a little bit earlier, but it is what it is. 
Chris Quilty: Okay. And can you also comment or estimate on -- of the 250,000 deployed modems, where you are in the upgrade cycle of modems deployed with the Carrier-in-Carrier technology? 
Fred Kornberg: I'm -- I really don't think we want to mention the details in that area. But we are probably less than -- certainly, less than 30% of the way there. 
Chris Quilty: Okay, great. Switching gears on the RF business. Can you remind us of what your status is on the WIN-T Increment 2 program? 
Fred Kornberg: Yes. On the WIN-T Increment 2 program, we're working with Rockwell Collins, as you know. They are the supplier for the WIN-T Increment 2. And we have our products with Rockwell qualified, and in certain of our products, we are the sole supplier. 
Chris Quilty: Great. And finally, on the mobile data business. I think you had previously forecast around $27 million of revenue in that segment. You had obviously a strong Q1. Is it still fair to assume only around $6 million to $7 million of revenue remain per quarter through the balance of the year? 
Michael Porcelain: Chris, I'm not sure we ever gave any specific color on the mobile data com revenue. But it is fair to assume that our -- given our Q1 revenue of $12.3 million, that included $3.5 million worth of mobile satellite transceivers for which we don't have backlog. Q2, Q3, Q4 sales are going to be down from that number. If you look at what we have in backlog and as well as our expectation of the renewal of the BFT-1 optional performance period, you can kind of back into your own revenue number. 
Chris Quilty: Okay. And given the lack of orders there, I know in past years, the telecom business benefited from the manufacturing synergies in the factory in Arizona. Is it fair to assume that margins in the telecom business are now sort of decoupled from the mobile data business and stand on their own? 
Fred Kornberg: Oh, yes, very much so. 
Chris Quilty: And what -- are you still looking for sustainable margins in the low-20s in the telecom? 
Fred Kornberg: Yes. 
Chris Quilty: Okay. And finally, on the mobile data business, I think, with the waning of the MTS and BFT business and now the microsatellite business gone, I think when you originally lost the MTS, BFT contracts, you had indicated that you thought there were commercial opportunities for that technology. Is that still part of the plan? 
Fred Kornberg: It's still part of the plan. As you can appreciate, these things take a long time to develop. We did just recently with a NATO program for a similar technology, as I think we released that information. And so given the economy, I think the expectation is that we will be booking some programs in the future. 
Chris Quilty: Okay. And Mike, can you give us the backlog by segment? 
Michael Porcelain: Sure, Chris. Our telecom backlog as of Q1 was $75.8 million, RF amplifiers backlog was $43.7 million and our mobile data communications backlog was $13.8 million. 
Operator: And we'll take our next question from Joe Nadol with JPMorgan. 
Joseph Nadol: Just digging in a little bit more in the Satellite Earth Station area and the government demand in particular. Is it fair to say -- or do you believe that the length of time it took for certification that you've now received was a factor in delaying orders or are those issues not really related? 
Fred Kornberg: No, they definitely are related, as I tried to indicate. Where certification is not a problem, for instance, just as an example, for the 3-letter agencies, we have started selling that Carrier-in-Carrier technology a bit earlier. But on the other hand, for major programs, certification is a major issue. So I think we're very happy that this finally came through. 
Joseph Nadol: Okay. And then the orders that you're looking for, not this quarter but in the second half, from the U.S. government, are those largely DoD orders? Are they civil agencies? Are they lots and lots of one-off orders or are there 2 or 3 kind of the big lot orders you're expecting? Just if you could help characterize those a little bit. 
Fred Kornberg: I think if we're talking about the telecom segment, I think it's throughout -- it's really throughout the DoD agencies, as well as international, obviously. 
Joseph Nadol: Okay. And then you had indicated last quarter that share repurchase wasn't going to be -- you didn't intend to make that a major focus, and then now, you've reupped the share authorization here. Is that a reflection of -- simply of the stock price or is there something else with regard to the M&A outlook that's driving that? 
Fred Kornberg: I think I certainly don't remember, but I didn't think that I mentioned that we were stopping the buyback purchase program. I think what I intended to say at least was to -- that we were taking a breather and at this time, not buying anymore. I think we always and our board always discuss future buys of our stock back. Specifically, yes, we do have an acquisition program. But as we all look out there, I mean, we're selling at 4x, 5x EBITDA. Some of the assets out there that we are looking at need to be paid for by 8x to 9x EBITDA. So our stock looks very attractive to us right now. 
Joseph Nadol: Okay. And then finally, Fred, just looking at the fiscal cliff and sequestration and all that. I'm sure you guys have a pretty good bead [ph] on which line items in the budget are going to cede. Hopefully, those orders you're expecting to rebound for Satellite Earth Stations in the second half. We have CR as well going on. Is there a certain resolution that you need to this whole situation in the next month or 2 that will enable the critical agencies or critical customers that you're looking at to place those Satellite Earth Station orders? Or is it -- is the money funded in there and you're not really worried about that part of it 
Fred Kornberg: Well, the irony of the situation is that certainly, the '13 budget is approved and has moneys in for various programs that we are on. I think it's more or less the paralysis that has set in, in various government agencies where they're really in a mode of not being sure exactly what their future holds. And this is essentially stopping their funding that they have being let go or because they don't know what the future funding is. So I think it's really the paralysis that has become a problem for us. We believe on a future basis that the programs and the telecom products that we supply should not be really affected to a large degree on any funding shortfalls. We believe that telecom is something that the government will spend money on. So I think it's more of the paralysis and when that will finally be overcome and that's by a resolution finally. 
Operator: We'll take our next question from Mark Jordan with Noble Financial. 
Mark Jordan: Looking at the first quarter telecom group on the operating margin. You had 23%. That clearly was influenced by the clawback, and if you back that out, it looks like you were about 18.5% off margin there. Looking out into the second quarter, is there any mix shift? I mean, to get to the sort of the earnings numbers, it looks like you're implying that you'd be down potentially somewhere in the 9% to 10% margin range in this group. Is this just a function of lower sales volumes and fixed overhead driving down that op margin? Or is there a mix shift that you see? 
Michael Porcelain: Sure, Mark. I certainly don't think our operating margin is going to be below 10% for Q2, so I think that's a little too extreme. But yes, you are right, 18.5% or so in Q1 adjusting for the Stampede valuation. There are some big large mix issues that did occur in our telecom segment. As you know, our over-the-horizon microwave product line, when it generates significant revenue, does bring us pretty high contribution margins. And we did shift a significant amount of MTTS sales, again, that comes in at high contribution margins on the operating income line. We're not expecting anything to come in until Q4, so that will really be a big mix change to the segment. 
Mark Jordan: Okay. And then back to the comments of longer-term in the telecom group being 20%-plus normalized operating margins. Is it just sort of generically you've got to be in the low-$60 million per quarter range to obtain that level given a normal mix? 
Michael Porcelain: For the telecom segment? 
Mark Jordan: Yes. 
Michael Porcelain: I mean it certainly is a reasonable number on average. 
Mark Jordan: Okay. Final question, I know you'd had in the past some relatively modest amount of inventory exposure relative to the -- your older MTS hardware. Has that been worked off or what is the remaining exposure there? 
Fred Kornberg: It's virtually none. I don't -- I would certainly say any inventory we have at this point related to the BFT-1 and MTS programs is certainly insignificant and immaterial. 
Operator: We'll take our next question from Richard Valera with Needham & Company. 
Richard Valera: A couple of questions, BFT, MTS as it relates to some of the risk language in the Q. First on the sustainment contract. Is there any reason to assume that it's other than routine to get the prices finalized for that? I mean, you sounded pretty confident about it in your prepared remarks, but you had some risk language in there that suggested that there might be some risk of that not happening. 
Michael Porcelain: Well, Rich, we've had that language for several quarters since we've had the order. I mean, that was just the nature of the last-minute negotiations. I mean, you might have to go back to the quarter that we first got the contract, but really the government had some difficulty figuring out exactly what contract it was and at the end of the day was all rushing around to finalize the current BFT-1 contract. But in our case, we just think it's a matter of finalizing everything associated with the post-order audit from the BFT-1 program. And they're just taking it step by step, and we're just working through. But there's not anything unusual that we know related to the current set of contracts, and we've been able to finalize stuff. It's a cost-plus type of a contract, so we kind of have a good sense of what it's going to be. But given the SEC filing, we put in the cautionary language as we should appropriately do so. 
Richard Valera: Fair enough. Then similarly, on the DCAA exit audits, you haven't mentioned it, so I assume you're probably expecting that to be pretty routine as well. But again, some language in there that suggests you could end up owing many -- money. Any reason to suspect at this point that you would end up owing money on that exit audit with -- for MTS, BFT? 
Michael Porcelain: Rich, I don't know if you had caught up in our 10-Q. But in November -- late November of 2012, we actually received a, what we would consider, positive notification from the DCMA that the DCAA had actually determined that our BFT-1 large contract had the commercial item pricing in there. And so that notification did occur in late November. We view that as a pretty positive development. Notwithstanding that, the DCAA has to complete their audit, finish issuance of report. We're not privy to what their findings are yet. But we do think that the first piece was a very successful resolvement for us that our mobile satellite transceivers were commercial. And that's what we always thought, and that, we thought, was a large piece of what they were looking at. We're expecting to hear from them within the next quarter as to the resolvement of the remaining part of the audit, and obviously, we just can't predict it. We just don't know what they have, and certainly, anything that we have, we'll report to you. 
Richard Valera: That's great. And on the over-the-horizon, just wondered if you could give a little color. It sounds like you have a great opportunity for another major follow-on with your North African customer. Wondering if you'd give any color on what might make that not happen. It sounds like you're reasonably comfortable that happens maybe in your fiscal fourth quarter. What are the potential obstacles? And then, any color on some of the additional deals? It sounded you had other stuff in the pipeline perhaps beyond that very large follow-on. Just any other color on that OTH pipeline, if you will, of potential orders. 
Fred Kornberg: Obviously, Rich, you know we're kind of reticent to predict timing on the over-the-horizon products and programs. However, what we can say about the North African situation is that our U.S. prime contractor has now signed an additional phase with this end customer and has actually provided that customer performance bonds, and usually, that's the next step. And then the final step is that the end customer provides the U.S. prime with a downpayment. Their expectation is for the downpayment to occur in a matter of the next 60 days. What could happen? Things can always get delayed for one reason or another. Specifically, the only worry that I could see out there is what's happening in the Mid East, specifically in Egypt. That could spill over to our North African customer by giving them some reason to delay providing a downpayment. But the contract is official. The bonds are in place. 
Operator: We'll take our next question from Tyler Hojo with Sidoti & Company. 
Tyler Hojo: First, thanks for providing the additional color on the JCREW program. Was just wondering if your customer had given you any sort of visibility in regards to when volumes could potentially start on that program. 
Fred Kornberg: Well, as I tried to mention during my presentation, the program had run into some technical difficulties, specifically on the software side. As I also mentioned, it's not our piece of the product line that we supply. We've actually finished our development program fully and qualified. So the software technical difficulties have resulted in kind of a stalling of the program with the U.S. Navy. The customer and the Navy are in discussions of how to solve or resolve this particular problem. This has moved with our expectations, and the funding that was in the palm -- in the government budget programs was originally scheduled for '13. However, it now looks like the program's technical difficulties will probably push it out further where the actual first orders do not look like they're going to happen in '13 and probably will happen in '14. So we've kind of finished our portion of it but -- and we really don't know the extent of the technical difficulties. We just know that the program is on hold. 
Tyler Hojo: Okay. That's very helpful. And Fred, another question for you. Just kind of curious maybe if you could discuss some of the challenges or lack there. Basically, what I'm curious about is how do you handle basically running this defense businesses without having a security clearance in place. 
Fred Kornberg: I don't think I have a problem as far as security clearances are concerned. We have security clearance on all of our facilities that require it and the people that run it. We have -- we're structured on a subsidiary basis with independent units, with independent presidents running that -- those operations. So as far as clearances are concerned, we've always -- I happen to have had the clearance because of many, many years where I actually was involved in some of the operations. But for instance, our Board of Directors runs a company, and they don't typically have clearances. And so there are exclusions that are fine with the U.S. government as long as any specific sensitive information is not brought to the attention of either the Board of Directors or in this case, myself. So my security clearance has not been taken away. It's just been suspended for the time being. 
Michael Porcelain: Tyler, just to put some financial commentary around the number of contracts we have that require any type of security clearance for the company in aggregate is really immaterial. And that's sort of why we don't even disclose it in the sense of never have talked about it. And Comtech Telecom, the parent corporation, to Fred's point that he just made, has always been what's referred to as an excluded parent. So therefore, again, it was never really required by the government and there's not a contract that does require Fred's specific security clearance. 
Tyler Hojo: Mike, would you care to provide the percentage of contracts that do require a security clearance? You said it was small. But could you maybe give a little color on that? 
Fred Kornberg: Less than 10%. 
Operator: And we'll take our next question from Tim Quillin with Stephens, Inc. 
Timothy Quillin: The revenue -- the quarter-to-quarter revenue decline of 15% in the second quarter, I understand that the -- how much the mobile data segment would decline. But is there -- are there different rates at which the telecom transmission business would decline versus the amplifier business? In other words, do you expect kind of the steeper decline to come in the telecom transmission business? 
Michael Porcelain: Yes. It's -- the way I would describe it's just a blend. I mean, we do see 15% down quarter-to-quarter, and it is in all 3 of our segments. So I would just leave it at that. And given that it's very difficult to predict a specific order, our RF segment, as you know, is only $25.3 million. So an order that is a $2 million order that could shift 1 quarter-to-quarter, could swing the actual percentage pretty high. So just assume it's in all 3 segments. 
Timothy Quillin: Right, okay. And then on the MTTS opportunity that you expect to come in and drive a relatively strong fourth quarter in shipments there. Can you help us size that up and how that might be a swing factor in the guidance? 
Michael Porcelain: We did ship, and I use the phrase, a significantly large amount in Q1. We are expecting almost double the amount by -- to ship in Q4. But I don't want to put a number on that. 
Timothy Quillin: Okay. Well, and maybe just qualitatively, what is the risk to the new guidance if an order like that, or maybe if you can highlight anything else that potentially could slip? 
Michael Porcelain: Well, certainly orders that we expected in Q4, of which that one is, could slip. And if nothing else change, yes, that would impact our guidance. But at the same time, we're trying to look at all different aspects and things could happen, pluses or minuses. Our Satellite Earth Station business could get a little bit better in terms of the U.S. government’s stuff freeing up. So when you add it all in, we try to give you the best shot that we have, but certainly, the MTTS orders that we're expecting in Q4 are a big swing to our outlook. 
Timothy Quillin: Okay. Are there any other big chunks like that or would that be kind of the biggest one that we should think about? 
Michael Porcelain: In terms of orders, that would be. But as we also mentioned, we are expecting the optional performance period on our MTS, BFT-1 sustainment contract to be exercised in March, and we feel pretty good about that. 
Timothy Quillin: Right, right. And then, Mike, I think you had said that in the second quarter, where the convertible note would be anti-dilutive, then we should back out those shares and also lower the interest expense. Is that right? 
Michael Porcelain: Yes. I mean, basically if you go to our 10-Q, you just look at the numbers that we used in the anti-dilutive numbers, that dilutive share calculation, and just remove them from the calculation. 
Timothy Quillin: But that would be the GAAP number or the GAAP share count for 2Q? 
Michael Porcelain: Yes. Effectively, assuming at the current stock price that we're at, you could kind of look at our dilutive shares being pretty close to equaling our basic shares. 
Timothy Quillin: Right, right. And then in the mobile data business, outside of BFT. I think BFT was something like $10 million in revenue in the quarter, and so you had $2.3 million of other revenue. What does that consist of? 
Fred Kornberg: We have a small business that is chunking along, called the Sense [ph] business. It's similar to the government tracking business but on a commercial basis. And it's small right now, but it is growing. 
Timothy Quillin: Okay, okay. And then just lastly, on the buybacks, is there a certain net cash threshold that you would think about? Or so in other words, would you think about the $200 million convertible note as debt and then try to have a cash balance that's meaningfully above that so that you can support your business and letters of credit and things like that? 
Fred Kornberg: No. Right now, obviously, we have more than enough cash to pay off that note should that happen and it's not converted or -- and also, the buyback, even some more shares in the future. So I think we certainly have sufficient cash to not to worry about it until the notes are due, I guess, roughly in May 14. So I think we'll make the decision appropriate at that point. 
Timothy Quillin: Okay. Well, maybe just the easiest way to try and ask that question is, is there a -- how low of a cash balance would you want to maintain or how big of a cash balance would you want to not to go lower than? 
Fred Kornberg: I think that's difficult for us to tell you at this point because we don't know what the business base will be at that point in time. But certainly, we also have a $100 million credit line. So I think it's a matter of looking at the business at that point in time. 
Operator: And I would like to turn it back to the company for any closing remarks. 
Fred Kornberg: Okay. I guess I would like to thank everyone for joining us today, and we look forward to speaking with you again in March. 
Operator: This does conclude today's teleconference. You may now disconnect. And have a great day.